Yong Dai: Okay. Thank you very much for your introduction. Mr. moderator, dear investors and friends from the media, good afternoon. My name is Dai Yong. It is my pleasure to present the Geely Automotive results for H1 of 2025. During H1 of this year, Geely Automotive continued its strong momentum growth, recording all-round increases in sales volume, market share, revenue and core profit. Sales volume-wise, we delivered about 1.409 million units in the first 6 months, up by 47% YoY, far outpacing the industrial average of 13%. In terms of market share, for the first time ever, we exceeded 10%, reaching 10.4%, an increase of about 2.4 percentage points YoY. In terms of revenue, our sales revenue amounted to about CNY150.3 billion, up by 27%, maintaining steady and sustained growth. The core net profit attributable to the parent company reached about CNY6.66 billion, up by 102% YoY, achieving a double-digit growth rate of our profit. Now let me come to the brief introduction of the details. In terms of the sales performance, actually, I've already told you that we delivered about 1.409 million units in H1, a new historical high. Both IC and NEV vehicles achieved parallel growth and continuously consolidating our market base. In terms of IC market, 684,000 units in H1 were sold, an 8% increase YoY. In terms of NEV, about 725,000 units were sold, another record high, representing YoY of about 126%, far exceeding the industrial average. The Galaxy brand has achieved its new explosive growth, recording about 548,000 units, up by 232%. NEV penetration rate increased about 51.5% for H1 of this year with domestic NEV penetration rising to 55.9%, above the industrial average. In terms of exports, the total export volume was about 184,000 units, down by 8% YoY. Despite its performance, still, we have maintained outstanding performances of our NEV exports reaching about 40,000 units, up by 146%. We are of the belief that in the days to come, NEV exports will continue to become an important driver of our future growth for Geely Group. The rapid growth of Geely has actually been the strong boost behind both revenue and gross profit to new highs. The total revenue exceeded about CNY150 billion, up by 27%, of which vehicle revenue was about CNY134.6 billion, up by 28%. Gross profit totaled CNY24.7 billion, up by 24%. In terms of gross margin, despite increasingly fierce competition in China, the gross margin remained stable for H1 of this year at about 16.4%. Despite the slight 0.3 percentage point decline compared with 16.7% in the first period of this year, that decline was mainly because of the uneven growth rates of products within different gross margin profiles. In terms of the [Inaudible] the selling expense ratio and the selling and administrative expense ratios declined markedly. In terms of the selling expense ratio, it fell to about 5.6%, down by 16% YoY. Administrative expense ratio dropped to about 1.9%, down by 26 percentage points. In terms of R&D, the total investment for H1 of this year was CNY8.3 billion, down by 8.6%. The R&D ratio declined from 7.7% to 5.6%, a drop by 28 percentage points, demonstrating rapid gains in R&D efficiency. The absolute decline in R&D spending reflects the increasingly efficient use of the resources and the product portfolios. In terms of profitability, in a general perspective, the strong sales growth and improved product profitability drove core net profit attributable to the parent to CNY6.66 billion, up by 102 percentage points YoY. Because of that huge boost, so we benefit a lot from the per unit profitability enabled by a rapid increase in the core net profit margin. Especially for the NEV sales sector, the core net profit per unit rose to roughly CNY4,700, up by 37 percentage points YoY. The core net profit margin expanded from 2.8% to 4.4%, an increase of about 57%, leading the industrial average. The profit growth has also provided abundant cash flows and reserves to the whole company. The total cash flow reached CNY58.8 billion, hitting another record high. The net cash also stood at high volume and the operating activities contributed about CNY15 billion in net cash flow during H1 and the ongoing optimization of operations continues to supply the Group with substantial liquidity. Now let me come to different groups under our Geely Automotive company. In terms of Geely Galaxy, the sales volume reached 548,000 units, up by 232 percentage points YoY with market share at about 8.4%, firmly placing the brand in the top tier of China's NEV market. Geely maintained the top position across all passenger vehicle segments in China. Xingyao 8, which was launched on May 9, became the best-selling plug-in hybrid B segment sedan across all brands. The domestic sales of Geely China Star ICE models reached 474,000 units, up by 21% YoY, marking the ninth consecutive year as China's top-selling China brand ICE passenger vehicle series. China Star continues to lead with countercyclical growth, raising its market share to 8.7%, up by 1.6 percentage points. There are a lot of notable points and notable performances, including Xingyue L remains the best-selling IC SUV across all segments. Binrui is the best-selling China brand A0 segment IC SUV. During H1 of this year, the Zeekr and the Lynk & Co brands completed a strategic integration with synergies already coming to its shore. For example, Zeekr, we sold about 91,000 units, up by 3 percentage points YoY. Zeekr products cover key premium segments and our brand continues to rank among the top Chinese new energy premium marks. The 007 GT shooting brake achieved 10,000 units produced and delivered within its first month, become the ideal first premium shooting brake for young customers. To date, about 300,000 Zeekr shooting brake models has rolled off the line. Lynk & Co, 154,000 units were sold, up by 22 percentage points. Cumulative deliveries also surpassed 1.5 million units. Since the launch on April 28, the Lynk & Co 900 has ranked among the top 3 full-size hybrid IC vehicles in this segment. Also during this half year, Geely's globalization has also quickened its pace of acceleration as evidenced by the following few aspects. First of all, in terms of sales, NEV exports gained speed and products sold well in multiple markets, in which NEV export volume exceeded 40,000 units, up by 146%. The Geely EX5 and e.MAS 7 together exported more than 22,000 units, leading the pure electric market in Malaysia and the compact SUV segment in Costa Rica. Zeekr 009 leads the MPV segment in Hong Kong of China and the luxury pure electric MPV segment in Thailand and Malaysia. Also, we have seen the rollout of a lot of new products. The Geely brand has entered about 85 overseas markets with more than 1,035 sales outlets and service positions. Zeekr demonstrated strong competitiveness in global premium and EV markets, winning the premium brand sales crown or championship in Hong Kong, China and pure electric brand crown in Kazakhstan. Lynk & Co expanded its global footprint. For example, in Europe, we have a European dealer network reaching about 58. And 08 EM-P officially entered the European market in June. We have a lot of overseas international partnerships cementing its collaboration. For example, Proton sold about 77,000 units in H1 of this year. The pure electric SUV e.MAS 7 exceeded 4,000 units and became Malaysia's best-selling EV. Renault Korea has sold about 47,000. The Renault Grand Koleos SUV reached 26,000 units and ranking among the top 3 hybrid SUVs in Korea. In terms of technological distribution in the field of AI, we not only possess industrial-leading computing power, large models and big data but also deliver the concrete and impressive AI applications in all fields. For example, assisted driving system, we unified our systems under the name Geely Hàohàn with solutions ranging from H1 to H9 deployed across different models to demonstrate safety. In terms of smart cockpit, the next-generation Flyme Auto will be launched during the next half of this year. The Galaxy M9 will be the first model to feature an end-to-end AI voice large model, delivering human-like emotional voice and interaction. Also, over WAIC 2025, the Smart Egg cabin equipped with the preview version of Agent OS, stood out among more than 3,000 exhibits and was awarded conference's top honor of Treasure of the Pavilion. We used AI to improve our powertrain system. The new- generation Thor EM-i AI hybrid system has reached an industrial-leading engine thermal efficiency of 47.26%. The AI digital chassis delivers all-around improvements in safety, handling and comfort. In the area of ESG, Geely has always practiced long-term sustainable growth mentality. By the end of June 2025, the cradle to grave of full life cycle CO2 emissions per vehicle has fallen by 23.5% compared with 2020 standard, further advancing towards the year-end target of 25%. We actually performed quite comfortably well compared with some other competitors in this regard. Based upon the above-mentioned a few aspects, we have uplifted the sales volume to a new high. From January to July, the cumulative reached about 1.647 million units, representing 54.7% of the annual target. In H2, we will fully deploy across product launches, the technological innovation and overseas expansion to ensure the new target. We hope to launch 4 new NEV models and another 4 are scheduled for launch. Geely Galaxy, we'll introduce the mainstream plug-in hybrid sedan Galaxy A7 in August, the first model to feature the Thor EM-i 2.0 AI hybrid system and the Geely Hàohàn H3 assisted driving systems. In Q3, the flagship plug-in hybrid SUV Galaxy M9 equipped with H5 and multiple new AI technologies will be coming to the foreground. The compact plug-in hybrid sedan Galaxy Xingyao 6 will also follow in Q4. Geely China Star will launch the fifth-generation Emgrand in H2. The refreshed versions of Xingyue L, the Xingrui and Boyue will be rolled out successfully. The China Star brand will also comprehensively upgrade its mainstream ICE products with full intelligence to deliver high-quality, high intelligence ICE vehicles with the Zeekr 9X in the next H2 will be also introduced. The car models will also receive updates with improvements in assisted driving and electric drive system. For Lynk & Co, they will launch the Lynk & Co 10 EM-P in Q3, the first model to feature the new generation. Talking about exports in H2 of this year, the Geely brand will enter Brazil, the United Kingdom and Italy, Poland, South Africa and a lot more overseas markets. For Zeekr, it will enter Switzerland, Denmark and Belgium market. The Lynk & Co brand will further expand the dealer network into the Czech Republic, Austria and Switzerland market. In external cooperation, the Company will establish a joint venture with Renault in Brazil under an asset light model, leveraging Renault's local production capacity and sales channels to enable rapid market entry. Looking forward, in the face of even more complicated scenarios in 2025, the corporate management with unwavering strategic results and forward-looking visions fully leverage the competitive advantage of systematic synergy, accelerating the deep integration of AI technology with advanced manufacturing and strive to become a technology company with formidable intelligent manufacturing capabilities. That concludes my presentation. Thank you very much. Company Representative Thank you, Mr. Dai, for your wonderful presentation. Next, I would like to invite Mr. Gui to address the audience.
Sheng Yue Gui: I would like to offer my gratitude to all the audience, both offline and online for your long-term interest in Geely Auto. I would like to give you a bit of explanation. On May 15, we launched a quarterly report release, and on May 7, an acquisition bidding was also offered. So the May 15 conference was held not only for the release of the quarterly business performance but also a venue where we can give you the explanation of our business strategies in the future. Mr. Li Donghui and other senior executives were present at the May 15 conference because of the mergers and acquisition has not been completed legally. So our emcee still stick to the original job titles when introducing the attendees of today's press conference so this is a bit of the explanations of our job titles. It doesn't mean that we have incurred any other changes after the May 15 conference. As to our H1 of 2025 business performance of Geely Auto, there are a couple of highlights I would like to share with you. First of all, we efficiently resolutely implemented the Taizhou Declaration from the end of last year to the beginning of this year. Once we complete the mergers between Lynk & Co and Zeekr, as the synergy improves after the mergers, we found that the coexistence of the 2 public companies will continue to serve as a hindrance to in-depth integration, and the coexistence of the 2 publicly listed companies will still incur some duplicated investment. That's why we made a strategic decision to turn these 2 listed companies into 1 listed company. As I just said, we resolutely implemented the Taizhou Declaration. In the past couple of months, we've made notable achievements and we've made a smooth and efficient progress so far. On May 17, we issued an offer for acquisition and the contract was signed subsequently. You're probably interested in the exact date on the closing of the deal. If on September shareholders' assembly and Geely Auto's shareholders' assembly, I'll give a green light to this acquisition deal. I think the case will be closed successfully legal- wise and the transaction will be completed by the end of this year. These grand mergers between the 2 listed company is deemed as the first highlight for Geely Auto in H1 of 2025. I would like to say that these mergers between the 2 publicly listed companies is of strategic importance to Geely in the future. Given the current auto market situation in China, the big mergers will ensure future business success of Geely as a whole. Based on the financial results we just released, I'll give you a brief recap of our financial performance in H1 of 2025. As to sales performance, the PBT shows we completed about 1.409 million units, which is a record high for half year sales performance. This 1.5 million is just a number. What really matters is everything behind this number. Most importantly, I think you just catch this message from our PBT that across different segments, the whole spectrum of the segments in the market, our market share for the first time in history exceeded a double digit, reaching 10.4% of the total market. Geely currently ranks #2 in China in terms of its sales volume, and the #1 auto brand in China accounts for 14.7% of the market share so we're still 4 percentage behind the #1 auto brand in China. Last year, the difference is 8 percentage points. After 6 months of development, yes, we still rank #2 in terms of market share. Yes, the differences between #1 and #2 decreased by 50%. If we take a look at the breakdown of this number, we found that Geely ICE is the most intelligent and the most fuel-efficient models among all the Chinese auto brands. I think in the future, Geely will continue to hold its #1 position in the ICE market in China. Now let's turn to new energy vehicle market. Right now, our market share is 11.44%. What does it mean? Yes, Geely NEV market share allows Geely ranks #2 in China and #1's market share is 21.8% so there is still a significant difference between #1 and #2 in terms of market share. If you take at the overall market spectrum, the difference is only 4 percentage point. But in new energy vehicle market share, but still we've made substantial progress in the past 6 months. Well, last year, the #1 Chinese brand enjoyed 34% of market share and our market share last year was only 7%. So last year, there is a 27 percentage point differences between #1 and #2 in terms of market share. This year, we increased our market share to 11.44%, and the #1 China brand accounts for, let's say, 29.8% of market share. So we decreased the differences by 1/3 over the past 6 months. That's the real meaning behind the shipment volume of 1.4 million units during H1 of this year. I can tell you very confidently that particularly with regard to NEV, this market share differences will continue to shrink. I'm confident about this because for many, many years, Geely Auto placed high importance and emphasize on architecture and platform. In our GA platform last year, we launched the Galaxy series models with a lot of blockbusters rolling off the assembly lines. Our Xingyue models for the first 6 months in 2025 remain #1 brand across all segments, and Xingyue L also maintains a very, very high market position. Galaxy L7 with its very short existence in the Chinese market, it also registered a very clamoring performance. We have all the reasons to believe as we improve our product metrics in the NEV portfolio, we believe we can fill in a lot more market plan in the NEV market. Once we fill in our models into the segments we haven't occupied yet, we believe we can continue to increase our market share, decreasing our differences between #1 and #2 brands in terms of market share and probably we're going to catch up with the #1 and become #1. This is my interpretation of that sales volume of 1.4 million units during H1 of this year. Thirdly, I'm going to talk a little bit about the profit. The core profit to parent is CNY6.6 billion for H1 of this year so it's 200% of the same period of last year, which was only CNY3.3 billion. We can further break down the CNY6.6 billion into different smaller segments. By calculation, you find that the net profit margin to parent is about 4.5%. Last year, the figure was only 2.8% so this is really a huge growth. You know that for those leading companies or players in China's auto market, the net profit margin is somewhere around 5%, which is sufficient enough to suggest that against the main backdrop of transformation based upon new NEVs, our net profit margin began to turn around, which is quite close to the industrial top level. So if you further break down this attributable profit margin to some details for per unit of car, H1 this year saw this figure standing at about CNY3,500 and the net profit for each car for H1 of this year has reached over CNY4,700, which is really a significant boost compared with the previous level. So the single unit net profit is a really key indicator suggesting the overall performance or the profitability of the whole system. So I think that the scale of economy can be further released or reflected through the improvement of this figure. At the same time, as a result of the so-called main or the overall integration at all level, this will also be translated into the significant reduction of costs on all fronts. I am of the confidence that the single unit net profit or net profit margin will also improve significantly for the next half of this year. Well, that brings me to the next point, which is what I told you over the previous interim result conference last year. As I said, the sales volume each half year will be hitting a historical high for that particular half year, but there has been very little mention over the so-called profitability levels of the performances. However, based upon the performance for H1 of this year, we are very confident that in the days to come, we can achieve double growth not only on the sales volume but also on the profit margin, especially against the backdrop of the transformation of the driving systems to an EV market and against the new background of the market changes. So I think that each round of interim result conference can also be, together with the improvement of our profitability on all levels, to bring more benefits or the rewards to our shareholders. So these above-mentioned 3 points conclude my comments on the so-called performance result announcement. I think these progress and achievements are largely attributable to, on one hand, the improvement of the quality of the products; on the other hand, the improvement of the technological expertise. I'm sure that you may have a lot of questions related to autonomous driving and many other fields. I think we can leave more time for interactions between our media, investors and our management officials here. So much for those positive things about the result conference, but that does not prevent me from mentioning a little bit about something that we need to do better in the future. I think that we still have a lot of things to do better. But due to the time limit, I don't think I have much time to elaborate each and every part of this list of the so-called things to improve. I want to dwell upon some of the most important things. First of all, brand recognition and building. Since day 1 of Geely Auto Group, 3 decades have passed during which there has been a sea change of the auto market in China in terms of brand building. Especially in the wake of the drastic changes of the auto market in China, there have been a lot of things that we need to do better in the future. I think that we need to face those shortcomings squarely and seriously. What holds key to brand building is to treat customers first or customers always first. For us specifically, that means the driving experiences, the driving emotional feelings are equally important to the success of the brand building journeys of whichever company in this market. The driving experiences are largely determined by the very product quality of our cars, but the good psychological feelings of the customers or the users of our cars could be another very tall order for us to achieve. So what we really need to do is to work even harder to ensure that our customers may be left with a better impression of our cars and the products. So this is largely attributable to many reasons so I want to dwell upon some of the main aspects or the factors. Now you can see that the smart technologies are developing by leaps and bounds. The future plan for the launch of the product portfolio is a critical link of the whole chain. If we hide the product portfolio launch plan or schedule from knowledge of our customers, that is equivalent to the denial of the knowledge on the part of the customers. Hence, the better recognition of our brands. I think there's still a long way to go based upon our key lessons to draw from. Here, I want to avail myself of this opportunity to express my sincere apologies to those customers under whichever product groups under Geely Automobile Holdings Limited who may have those feelings. My strong and sincere apology for those feelings that you may not feel quite good about. Well, we have been doing a lot to improve or to change the impressions. I want to give you some examples. On August 8, the Zeekr brand in China has announced the plan for the launch of 4 revisions of the existing models. In parallel to this announcement, we have also made public some policies related to the preferential treatment or some of the interest accumulation on the part of the existing customers. The response to those policies could be described as quite positive. These are examples illustrative enough of the fact that they know very well about the real intention behind those actions or policy announcements. So if you confer the right of knowledge or the right of choice to the customers, I think our customers will feel positively about our brands still. Also, we are sensitized to this very important fact that customer first is by no means an empty slogan. Maybe the early announcement of those product plans may deliver an impact upon the sales volume in the days to come. However, the customer first was, therefore, being substantiated. That is to say customer first is by no means an empty slogan. We have to put customer first ahead of anything else. This has to be implemented to the letter. This is the very basis upon which we can build a strong edifice of our brands. This only covers one aspect of the comprehensive system of building a strong brand. Of course, there are many other different lessons to draw from. In the days to come, in the next step, I think that for all the brands, we have to do even better. We need to set up a better channel through which we can interact more vigorously and actively with our customers by putting our hearts first. We have to hawk the real voices and opinions from our customers. Only by doing so can we build a strong brand. And the companies will benefit immensely from such a practice. This is the first key lesson I want to share with you about brand building. Secondly, export. As I said, 1.409 million cars sold is a key reflection of the progress we've made. However, we have to be aware of some issues that we need to fix in export, which is down by 8 percentage points compared with last year. I remember that over Q1 results call, I have made clear to you that there have been a lot of things we need to do better in terms of the market surveys, investigations, knowledge of the overseas market and the product insufficiencies. Of course, there are some structural reasons of the product launch. I want to leave this part to Mr. Gan for more introductions. But no matter what it is, the 8 percentage point down or reduction of the export is really a key reflection of something that we have to do better in the future. This is also a mismatch of our good performance in the domestic market, and this is also the most staring issue against those positive results. That is the main reason why over the past few months, we have revised and polished the whole structure and we have set up a quick response system in the overseas market. Also, we have deployed a lot of channels to facilitate the sales of more cars through these channels. I'm sure that with the launch of more NEV models in all markets or key markets in the overseas market, I'm confident that H2 of this year, we will see a rising increase or a rise of our sales volume. I'm quite still confident that for the whole year, the export sales volume can still be quite positive by evening out the discrepancies or some seasonal or monthly differences across the whole year. This is the second key drawback I need to share with you. The third issue I need to talk to you about is despite the profitability, which is quite good by doubling based upon the previous period, still, there are some things we need to be clear which is the single car average selling price. We have seen the reduction of the average selling price per car by about CNY15,000 for the first time ever in our history. Secondly, our gross profit margin has dropped by about 0.3 percentage points. The reasons are as follows: on one hand, the rapid rise of the Galaxy brand in the market has actually made the base figure much larger than in the past. This is also another key reflection of the slow speed of our growth in the top and the premium product segment, which is in mismatch with the overall growth plans of Geely in general. I think for the next half of this year, a lot needs to be done to improve the current scenario, especially with the launch of Lynk & Co 900 series and also with the launch of 9X and M9 of Galaxy and some other high-priced models, I think we can see a positive turnaround of the average selling price per vehicle or the gross profit margin. So this is coming in the gross profit margin and gross profit in H1 of this year and this is my explanations. So this is my very quick recap of our business performance in H1 of this year, and I think you're more interested in the future growth trajectory of Geely Auto. The clear conclusion is that we are very confident about the whole year target of 3 million sales target. Geely Auto is probably the only Chinese auto brand that significantly changes its annual sales target after July of this year. The one thing I want to emphasize is that the achievement we made during H1 of 2025 is not groundless achievement. They are solidly built on our deep understanding of the Chinese auto market and a whole series of measures we've taken based on that understanding in the area of intelligence and technological development and construction of the ecosystem. We made these achievements because we made investment in technology and ecosystem. I read a lot about some estimate and forecast on how many Chinese auto brands will survive in the future. All these forecasts were made based on the launch of some specific models from specific auto brand. I think none of these forecasts are solidly grounded. The other brand that will survive is the auto brand with very strong manufacturing capability and an overall strategies on artificial intelligence with strong technical capabilities. The existing sales volume will not secure your future success. I think Geely Auto really stands out in this regard in the Chinese market. Not long ago, Geely launched new satellites into the space. The launch of the satellites is part of our effort to develop our new technologies for the auto market. We believe that with the development of artificial intelligence, the advanced driving experience cannot be built solely on the vertical integration. We need horizontal integration at the same time to ensure the optimal driving experience. So all these mindset and mentalities ensured our success in the past 1.5 years. We believe that if we continue to do what we've been doing in the past, if we continue to make sure that Geely becomes a strong technology company, we'll enjoy the bright future. And last but not least, I'm going to tell you that the One Geely after the big mergers holds a bright future. Thank you very much.
Yeung Chiu: Thank you, Mr. Gui. Now it is time for Q&A. We welcome questions from our online viewers. Now the floor is open for questions. Please have the microphone.
Feitong Chen: My name is Chen Feitong. I have 2 questions. The first question is related to intelligent driving or ADAS. So with regard to Qianli Geely, so what is our plan to further develop this Qianli Geely system? Secondly, in terms of export, HEV and PHEV were made breakthrough in the European markets by other Chinese brands. How to make sure that you're going to use your diversified brand portfolios to enter different niche markets in overseas market? Company Representative Well, thank you very much for your question. I believe you're interested in these 2 questions and the answers to these 2 questions. First of all, I would like to thank our media friends and our investors for your support to Geely. Thanks to your continued support. Thanks to your valuable input during our business growth and expansion. And we've made a lot of progress and we made improvement based on your feedback. Back to your 2 questions. The first question is related to intelligent driving system or ADAS. The other question is to our international strategy. Starting from September 2024 with the launch of Taizhou Declaration, we're going to focus on key strategies, key markets, key personnel and key mergers and acquisitions. So in short, we're going to integrate our internal resources to avoid wasteful and duplicated investment. We're going to improve our overall competitiveness. And in short, all this will be done under the One Geely umbrella. So everything we do must center around this big strategy. On March 3 of this year, we launched our ADAS system, which is called Qianli Hàohàn. There are 5 levels of ADAS from H1 to H3 to H5 to H7 to H9 covering different needs of the customers and different niche segment. We're going to develop 1 set of strategies and deploy different intelligent functions according to the computational capacities on different models. At the very beginning, the intelligent driving is based on sensing to computation to decision-making so this is the original model. We can't cover the whole spectrum of scenarios, especially very particular specific scenarios, especially in turning on ramping. So this old model cannot cover or be applied to these very specific scenarios. So with the rapid growth of artificial intelligence technology, we'll be able to use the large language model or large model to cover the whole spectrum of application scenarios. This is a general trend in the development of intelligent driving. The success to 1 model is based on the following elements. First of all, we need very strong computational capacity. The second element is that we need to have a very good model, the large model. And thirdly, of course, we need data, big data, a huge amount of data. Computation capacity, big model and a big set of data, these are the 3 key elements to the success of the intelligent driving technology. We established a Chinese company, which is a company dedicated to the development of that intelligent driving system. In the area of AI or big model or in computational capacity, it's a very, very strong company in terms of its technological portfolio. In March this year, we announced a new architecture of in-chip computational capacity. So the total computation capacity within the chip is 23E FLOPS, which allows it to rank #1 in China. In terms of large model, we used a multimodal large model with our in-chip model to make sure that they can provide a lot of human-like functions and interactive models. And in terms of engineering of the artificial intelligence technologies and in terms of mass production capacity, I think Zeekr has provided a lot of strong support. By putting all these elements together, we have established our competitive advantages in this market. Last month, we released our new technology architecture, including our world model, our foundational fundamental model and VLA model together with our end-to-end adversary safety model. So with all these models, we'll be using our cloud-based model to train our car-based model. We can also use our car-based model to verify the cloud-based model. We're making very rapid progress in the development of these technologies. And these technologies will be deployed to the models we're about to release in H2 of this year. If we take the overall picture of ADAS market in China, there are 2 main models in ADAS systems. The first one is self-proprietary system. The other one is what we call the black box system, meaning you outsource your ADAS systems through a third party. So I think probably in the future, intelligence or artificial intelligence will be a very basic function of a vehicle. It must be technologically advanced. So technological advancement is the prerequisite, and it must be an active system and it also assumes a certain scale of economy. To ensure the success transition toward intelligence, we need high-quality large model. Talking about the active development, I think we should always be taking the lead in the development of intelligent technologies in the industry. We must maintain our own R&D capabilities. And thirdly, we must assume a certain scale of economy. Intelligence development requires a huge amount of capital investment so scale of economy plays a critical role in this regard. So with the launch of this structure, we hope that the core competencies and the advantages of these products will not only serve different product lines but also meet different customers' requests so that we can empower the entire industry by bringing more choices and products to the whole industry. Of course, our aim is far from the so-called first tier. We also hope that on all fronts, we can be the benchmark of the whole industry. On whatever fronts, including HR, the computing power base and the infrastructure building and in terms of some other aspects, we are really among the best in China. So that's what our general impression and a general requirement is all about for the Qianli Hàohàn structure. So that's the answer to your first question. The second question is about the internationalization or specifically the export issue. For H1, our export volume has been about 2.58 million sets, up by over 10 percentage points. For Geely, for H1, our export volume is 1.84 million, down by 7.7%, which is quite far away from the industrial average by 10.8% as Mr. Gui has mentioned in his comment. So this is far from satisfactory, but if you further break down the performance for H1 this year, it is largely influenced by the single market in the Eastern European market. The sales volume in the Eastern European market was down by somewhere around 40% to 50% due to some structural issues. This will be translated into about 20% of the reduction of increase of our export volume for H1 of this year. But this factor out or excluded, our general improvement rate is about 42%. So in general, our export volume and the structure was continuously optimized. And for H2 this year, we will stick to the system or the policy of diversification and internationalization to handle different complexities of the international market. The overseas market has undergone some serious changes. As I said, we have a One Geely, One Team structure. By One Geely, One Team, I mean, we have 1 team otherwise known as the operating entity under One Geely Group. I, myself, is the chief manager of this operation entity. For the next step, we are going to do more things, including global coordination and regional cultivation. The overseas development should also be included as part of the priority programs. The first thing that we need to do is to ensure we can have some structural changes. Secondly, we need to set up 5 overseas regions. The first region is Europe; secondly, Latin and Africa; thirdly, Middle East and ASEAN and Eastern Europe. So after the founding of the 5 main regions, all the brands have to be operated under these 5 main regions for overseas development. In medium and far end of the operations, there should be 1 same platform. We need to highlight the so-called aftersales service outlet and competencies. So this is what I call the so-called structural change. Secondly, product aspect. Looking ahead, our export has to be dependent upon the development of both IC models and EV models, and there should be some regional-specific product launch strategies as opposed to the simple strategies in the past. So the unilateral and simple way out in the past actually has taught us a lot of key lessons. Maybe some of the demand cannot be fully met and there are some of the redundancies over the management of some of the markets. At the same time, we also have to stick to high-volume and high-value overseas growth. So the adaptability of the local products in overseas market has to be another issue that we need to correctly handle. We have 5 design centers, 5 experimental centers and 5 HR centers and 5 AI smart ecological clusters. So all these 5 big parks or facilities or centers will help us to cope with different specificities of the product portfolios. In terms of smart technologies, also, we need to quicken our steps to deploy more products. There have been a lot of deployment and a different arrangement of those product management routes for ICEs and for NEVs for Binrui, Emgrand and China Star, Boyue Star. These are some of the blockbuster product series that we need to handle properly. Secondly, we need to ensure that the Galaxy products will have a better international performance. This will be translated into another selling point in the future. The growth margin, i.e. 145% for H1 of this year for NEV could be a very good result. But looking ahead, with Binrui and Xingyue L coming to the international market one after another, this could be another harbinger to more rosy results down the road, so my expectation is 130% minimum for H2. For Lynk & Co, the focus should be on 08. We hope to launch more products in Austria, Czech Republic, Mexico and other countries. For Zeekr, the priority should be on GX and 09 because 09 in Hong Kong, Malaysia, Singapore and Thailand were quite popular, especially MPV versions have been among the top-selling models locally. For H2 of this year, we hope to launch 3 main regions to accommodate the sales volumes above the threshold of about 100,000 units. We hope to achieve what Mr. Gui has mentioned in his comment to ensure positive growth being registered confidently. Our exports began to recover. It's lost momentum to over 80,000 units. I hope that the serial growth momentum will also be registered in the days to come. Thank you.
Yeung Chiu: Okay, next speaker.
Yan Cui: Okay. First of all, congratulations on achieving good results for H1 of this year. I come from Minsheng Securities. Two questions from my perspective. First of all about high-end product launch. Just now Mr. Gui mentioned about the product launch strategies. My question is for Lynk & Co. What is the latest updates of the change of the leadership and the structure? What will be the new changes and the practical changes of the channels and the distributor models? You have mentioned about the integration of Lynk & Co and Zeekr, so if there's any change of the sales target of 1 million in the future? Secondly, the anti-fierce competition has been put forward early this year in our automotive industry. So as the leading player in this industry, what should be our correct attitude about the Galaxy series in H2? Maybe the policies will be no longer a relevant factor next year, so what should be the response of Geely in response to the change of the policies?
Jia Yue Gan: I will answer the first question and I will leave the next question to other speakers. So the integration of Zeekr and Lynk & Co, you know that last September has seen the launch of the Taizhou Declaration. Under the leadership of the Taizhou Declaration, on November 14, it was announced to the public that Zeekr and Lynk & Co will be merged with each other. On February 14, the final settlement was concluded for the integration of the 2. So since the announcement to the final settlement of the agreement, this is a critical period and results to implement the key ethos of the Taizhou Declaration. In the wake of the declaration and after the merger was done, what has brought to the whole company in the wake of the merger and acquisition? I want to share with you some of the statistics, first of all, in terms of the sales volume. I want to share with you the key figure that it was improved by about 14.5% compared with the same period last year, I mean, H1. We are not so happy about the result. I think it is concomitant with some of the relevant and necessary changes of the HR systems and the selling systems and marketing systems. We're not too happy about that, but anyway, best result. For some other areas in terms of the R&D expenditure, after integration, the Zeekr R&D ratio is about CNY2.9 but now it's about CNY2.1 so it was down significantly. But I want to add one more point. Zeekr tech company is a US-listed company but the US standard or US policies, I think they are all being converted into the expenditures or expenses. I think the efficiency management ratio is about 12%. For the comprehensive gross margin, that's about 9.7%. This could be regarded as a very good result in our industry if you calculate the key figures from Q1 and Q2, but for the whole vehicle gross profit margin, for H1, that's about 16.9%. By comparison, H1 last year, about 14.3% so you can see this figure increased positively. For net loss, last year, the figure was around CNY7.7 billion. For H1 of this year, about CNY1.1 billion. For Q2, for the first time of this year, our operating profit was hitting about CNY285 million. For the first time ever, it began to float above the positive level. So these are some of the indicators that you might be interested in. By whatever standards compared with the same period last year or if you calculate the performances for Q2 and Q1 after the merger was completed, basically, you are left with the impression that the figures tend to suggest positive results in the wake of this financial change and structural transformation. Looking ahead, I think you are very interested in what may lie ahead of us, especially in the areas of product integrations and portfolio accumulations.
Sheng Yue Gui: I want to say that the integration effect of Zeekr and Lynk & Co will still be positively felt in the future. At the same time, our team is of the conviction that that this integration will also be translated into better results and better sales performances. After the strategic integration between Geely and Zeekr, we'll outline our strategic route more clearly. As Mr. Gan mentioned, I think what we call the concept of China chip will be applied to the Geely's ICE segment. We're selling more ICE vehicles in the past couple of years, and at the same time, we're trying to export the ICE models to the overseas market. As to the Galaxy models so the Galaxy will become a mainstay NEV brand. The focus is on practicality, intelligence and safety. After the mergers between Lynk & Co and Zeekr, Lynk & Co will continue to become a trendy and premium and sporty and tech-savvy brand. As to Zeekr, Zeekr will continue to go up. The launch of 9X and 8X models and the deployment of super hybrid technologies is the demonstration of that point. The focus is on being premium technology and extreme experience. So we've got very clear-cut sub-brands facing different target audience. As to scale of economy, this is certainly an advantage of Geely after the mergers of different sub-brands. There will be significant decline or deduction in administrative expenses and other expenses. Geely, Zeekr and Zeekr Technology after the mergers of the 3 companies, we're going to see a strong reduction in cost in R&D spending so this is the significance of strategic integration. In H2 of this year, Lynk & Co, the Galaxy or Zeekr, the product portfolio will be more competitive. Lynk & Co 900 has already launched to the market. We're expecting a better performance of it in H2 of 2025. For Lynk & Co, we're going to launch Lynk & Co EM-P. As to Galaxy, which is featured by 09 and Zeekr represented by 9X, these will be 2 new series under these 2 brands. These are some of the new models we're going to launch in H2 of this year. And also, there will be upgrade of the existing models and there will be launches of new technologies into the market. They will help to improve the sales performance, and they will help to improve our financial performance at the same time. I believe there will be a better sales performance, better product structure and portfolio. We're going to see the launch of new technologies in H2 of 2025 in super hybrid, in 48-voltage and the new generation of 900-voltage battery packs. So these are some of the new technologies we're going to apply in H2 of this year. There will be an optimized product structures based on these technologies in the future so we're still confident about our market performance. Our annual target of 3 million units is possible with improved product structure. Thank you. Company Representative As to the anti-involution strategy, Geely is probably one of the first companies that openly support the strategy of anti-involution. In terms of the competitive landscape, we're not going into a price war. We are going into a value war, tech war, quality war, brand war, service war, and equally important, moral war. We advocate for open competition and benign open competition. We put emphasis on value proposition. We put a lot of emphasis on the improvement of overall competitiveness to ensure the benign development of the entire industry. Secondly, we're going to leverage on our influence over the logistics or supply chain. In response to the calling from the relevant government agencies, we will reduce the payback period to our suppliers to 60 days. As an influencer in the supply chain, we're going to make sure the healthy development of the entire value chain. Mr. Gui has just shared with you some of our efforts in improving customer experience, improving the promotional values provided to the customers. I've got a couple of additional remarks to make in this direction. In the area of safety, Geely is probably the first company in China that advocates for safety parity. This is by no means a lip service where we launched the Qianli Hàohàn system, the Thor system and digital chassis technology. With the launch of these technologies, we have realized the mass production of deployment of these AI technologies over a wide spectrum of Geely models. I think safety is definitely a key element in the principle of customer first. And fourthly, a robust operation under the guidance of the Taizhou Declaration and in the spirit of One Geely, we are making progress in the integration of internal resources. Stable operation of Geely is very conducive to the healthy development of the entire auto industry. The Chinese government proposed a healthy competition and an anti-involution strategy, and this calling is for the benefit of the entire industry and the entire supply chain. For Geely, which is committed to long-termism and which is committed to its overall competitive capabilities, we're going to stand out in this regard. Any other additional remarks from other executive members? Company Representative I got a few points to make. You raised a very important question. In H1 of this year, we can see that there is a very fierce competition broke out in the auto market in China. Total sales volume was 13 million units, documenting a 13% increase, thanks to the favorable policies from the government, which puts in a lot of new driving impetus to this market. The government policy is very, very effective and favorable to the growth of the auto market in China. At the same time, we can't deny that there is a very, very fierce competition in the auto market in H1 of this year. This is the first point. The second point is that the industrial concentration is reaching a new height. The top 5 auto companies in China accounted for 47% of the total sales volume in H1 of 2025. That number rose from 38% in 2023 to 48% to 43% in 2024, meaning the concentration rate of the industry increased by 5 percentage points every year. Secondly, the transition, we can see that there is an acceleration of the transition toward new energy vehicles. So the sales volume of NEV is about 5.5 million in H1 of this year, registering a 34% increase. The penetration rate of new NEV is reaching 50.4%, surpassing 50%. For Geely, so we sold 1.4 million units, an increase of 47% over the same period of last year. We registered a positive growth in ICE business, which is 21%. In July, Geely sold a total of 230,000 units. That's about 57.7% YoY increase. For 5 consecutive years, we registered a positive growth over the same period of last year. In H2 of 2025, we'll continue to put in efforts in our safety, quality and service. We're not going to price war. We're going to make sure that we can still enjoy the competitive edge with regard to price/ quality ratio. How to achieve that target? First of all, we must make sure that we're in the technological leadership in the market, meaning we're going to deploy more leading technologies to empower our products. For example, the Flyme Auto technologies will be deployed in all the Galaxy products, and then China chips will also be deployed across different segments. In terms of intelligence, H3 autonomous driving will be deployed to the models we're going to launch in H2 of this year. So 2025 will be a product offensive year for Geely. Five NEV models and 1 brand-new ICE model will be launched in H2 of this year. On August 8, the Galaxy A7 was just launched, which received a very hot response from the market. So far, we received a total of 30,000 orders on our order books. And on August 23, the presales of our new Galaxy model will start, and 9X will also be launched toward the end of Q3 and through Q4, and Lynk & Co's EM-P will be launched next month. So as Mr. An has said, we are going to improve our product structure through the launch of new models in H2 of this year. Our target is to make sure that every new models we launch in H2 of this year will become a blockbuster. Another key point, which is also very important, which is how to ensure profitability based upon efficiency, be it on sales management or R&D efficiency. I think there will be a lot of improvement on all fronts to ensure that our efficiency can be raised to a new high, especially H1 efficiency and interim result announcement could be the first step, and there could be more things to be looking forward to. I think there will be a better announcement of the results. Previously, we have mentioned about the technological empowerment, be it on software, hardware or thorough powertrain system. Now it is up to the version 2.0. The firm efficiency has been up to about 47.26%. This is also very good through the big models and the big data empowerment. We have actually been accumulating a lot of comprehensive strength on all fronts. For the next half of this year, the 9X or L3-assisted models will be coupled with the latest technologies. As I said, technologies will become the next key pillar to drive forward the new round of growth of our products on all fronts, so that concludes my intervention. Thank you.
Yeung Chiu: Well, actually, we have a lot of questions from the investors but now we welcome questions from the media friends.
Participant: I come from Phoenix Weekly. My name is [Harlene]. Two questions. First of all, Geely has announced a series of integration of policies. What are the results of the integration? Secondly, you have mentioned about scale of economy. My question is, what should be the facets or the dimensions based upon which we can see the positive strength and benefit of the scale of economy. Company Representative Well, I fail to catch your questions properly. Would you please rephrase your questions?
Participant: First of all, scale of economy. The first question is, what are some of the results of your integration? The second question is, anything that you can do to ensure that we can keep optimizing the cost structure to ensure the scale of economy?
Yeung Chiu: Mr. An?
Cong Hui An: Maybe I will take the lead. The scale of economy could be a very serious issue. Actually, I've already mentioned a little bit about how important scale of economy is. So for whichever product that we are going to launch in the future, it should be a blockbuster. The scale of economy should not only be represented through the whole vehicle management but also through the supply chain management. So I think that the scale of economy could be delivering a huge impact upon the whole chain, the whole system. As I said, we are based upon a modular system or the configuration-based system, so this configuration or modular-based system determined that our modules are really largely configurable. For H1 this year, there has been a lot of changes of the whole system. We have set up about 9 operational entity companies, so these 9 companies are complete with R&D as key technologies, product management supervision, product cost reduction and many other fronts. So this is an all-inclusive entity. These entities are fully responsible for the spare parts management under its system. And in the past, this system is actually disengaged from the so-called scale of economy, as you have mentioned. But looking ahead, we need to break away or break down the silos between different systems, so that different elements could be factored into our future systems for unified bidding process. By doing so, we can ensure the further reduction of the cost and to further boost or drive forward the competencies of our performance system, be it the C structure or the Hàohàn structure. You can see a lot of living examples. For Xingyue, within a short period of 13 days, the sales volume is over 10,000 units, being the so-called champion selling models across all the product portfolios or types. So this result is achieved by the so-called scale of economy. Secondly, software, also no exception. For software aspect, the investment is a once-off in nature, followed by some maintenance regularly from time to time. We need to be sticking to the original principle unswervingly by launching more programs to ensure the scale of economy can be further released. I want to offer one more point. What can we interpret based upon the so-called scale of economy. Now because this huge integration has a lot to do with this topic because the different products may cover different portfolios, but at the bottom level, there are a lot of things that we can talk to each other. In the past, maybe there's a silo mentality. The silo mentality is quite killing and quite harmful. We need to break away from the cyclical vicious cycle to be disengaged from each other or detached from each other, as in sharp contrast to the improvement of our efficiency on all levels in the form of a scale of economy. I want to offer a few statistics. This year, you can see that the scale of economy can be further represented through some financial figures. The management expense ratio was down from 2.6% to 1.9%, down by 0.7 percentage points. Our expense ratio was down by 6.6% to 5.5%. For R&D investment or input, it could be dropped from CNY9.1 billion to CNY8.3 billion based upon the synergies of technologies. The sales management ratio and management expense ratio could also be interpreted from the perspective of coordination. In the past, the first figure was about CNY3.2 billion, now down to about CNY2.9 billion. The absolute volume of the sales figure has increased by about CNY500 million. But considering the sales volume up by about 50,000, deducting the cost ratio of the factor, our sales expense remain intact or unchanged. So be it from whichever perspective, the relative volume or the absolute volume, this figure is a key reflection of the benefits of the scale of economy.
Yeung Chiu: Okay. Any other questions or comments? Maybe the lady at the back.
Participant: My question is about the later development of Qianli smart driving. Any plans for the employee management? Secondly, how huge is the investment for the integration of Geely, Lynk & Co, and Zeekr? Company Representative For Qianli smart driving, maybe Mr. Gan could answer this question. I will answer the second question.
Jia Yue Gan: Hello. Geely and Qianli Zhijia Tech and Lotus have co-set the Qianli Intelligent Driving Technology. This is mainly set up by the Geely and Qianli as a joint venture. This JV should perform its due roles empowered by AI and big data. It is expected to launch a fully competitive smart driving solution, and that solution could ensure the scale of economy across all product portfolios by making full use of our ecological strength. And by doing also, we hope to achieve the #1 in our automotive industry in China. Looking ahead, based upon the Qianli smart driving technologies, we hope to discuss the possibility of setting up a new joint venture, which is specifically dedicated to empower Geely on all fronts. So for Geely, it can also help us to ensure the iterations and upgrading of our current technologies to serve different product realms. I think these programs have been phased in one step of another. Please stay tuned. Company Representative Just now you mentioned about the size of investments for the integration of the 2 companies and the 2 brands or the exit of the 2 brands. According to the officially signed agreement, the exit price is about CNY26.87. The Zeekr exit is different from the traditional exits on all fronts. For the traditional exits, that means the discontinuation of the Company. But now our exit is totally different from these exits in that this exit is a type of a new reintegration of the 2 brands. So we give a so-called share swap right for our shareholders. This is also a key reflection of how responsible we are to our investors and shareholders. Zeekr investors may have a chance to derive more benefit from the future investment. If you want to calculate the real figure or the value according to the agreed volume, it's about USD2.4 billion. I think that most of the Zeekr investors will choose to swap their shares to 0.175 shares. So this will not take too much of the cash reserve of Geely. Maybe some of the investors might not have any relevant or the existing alternative to be converted into cash to ensure the share swap. But so far, it is beyond my capability to give you some precise accumulation or the calculation. I think the final figure will not be exceeding about 30% of the USD2.4 billion of size. Considering the current cash level or the reserve of Geely, there's no problem. Because recently, I was approached by any of the investment banks saying that you are going to exit from the market, you need a lot of money. Why not you distribute a lot of shares? No, I think we don't have any plans at the moment. And in the future, there's no plan whatsoever to do so.
Yeung Chiu: Okay. Due to the time limit, why not we give a chance to those online investors? Sorry, this lady, please, first.
Tianyi Li: I come from CITIC Securities. My name is Li Tianyi in auto sector. Two questions. First of all about high-end solutions. In the past, we have announced that in Chengdu Motor Show, we are going to launch the 9X model. I'm wondering how we're going to position 9X and the positioning of our future models. Secondly, you have really a clear-cut forecast of the export this year, but do you have also a long-term view about the export scenario or the landscape next year or the year after the next? Company Representative Okay. High-end solution is more relevant to our global strategy and Geely for these 3 brands, 4 product lines, Geely Galaxy could be put into 1 portfolio. For Zeekr, Mr. An and Mr. Gui just said that while Zeekr will be considered as a tech-savvy premium brand, so there are 2 things we're going to do in H2 of this year. First of all, we must improve the brand awareness. Secondly, we must improve the brand reputation. These are 2 things we're going to do for Zeekr in H2 of this year. Zeekr 9X, which is the flagship premium model will start its official prelaunch toward the end of this month during the Chengdu Motor Show. 9X will be the first model using the super hybrid technologies with the longest range and faster charging time and the greatest acceleration. It is an industry-leading model using Level 3 autonomous driving system. We're looking at technology leadership, which is a global technology leadership. But secondly, we must improve our brand reputation. For Zeekr 001, 007 and 7X, there will be a technical upgrade in intelligent cabin, in the model, battery and electric control systems. We're going to communicate with our potential customers more frequently. For Lynk & Co, there are 2 things to do in H2 of this year. The first one is to deploy more intelligent technologies, and secondly, there must be the improvement in the performance for Lynk & Co models. Lynk & Co 900 will be the first model equipped with the Qianli Hàohàn ADAS system. According to our preliminary market survey, our customers are quite satisfied with this new technology. These new technologies will be deployed to Lynk & Co 07, 08. Talking about the intelligent cabin, the Flyme Auto will be upgraded. Talking about the improvement over performance, the Lynk & Co EM-P will be equipped with the EM-P 2.0 system. It is going to be a 4-wheel drive system, improving the thermal efficiency by 3 percentage points and the transition box efficiency will also be improved and the fuel efficiency will also improve by 5%. All these technologies will ensure that the product will become more and more premium. For Galaxy models, we're going to ensure that there are 2 breakthroughs in Galaxies in H2 of 2025. So first of all, there must be a breakthrough in the new electric hybrid system, powertrain system. The hybrid powertrain is probably the main stay of the NEV market. So if you conquer the hybrid market, you conquer the NEV market so we're going to launch 2 new products in H2 of this year, one in Q3, one in Q4. They will all be hybrid. They'll both be equipped with the hybrid powertrain. Secondly, we must make breakthroughs in launching a flagship model. The Galaxy M9 will have its debut in September this year so that we can further increase the value proposition of Galaxy. As to China Star system, our China Star model, we're going to introduce more intelligent technologies to ICE. The combustion engine vehicle should also be equipped with intelligent driving system. And secondly, we also need to upgrade our classic model. As we just announced, the Emgrand, the fifth generation of Emgrand, we build up new architecture, new electric system, new intelligent driving systems. If for a classic model, we need to upgrade them 1 generation after another so we're moving into the fifth generation of Emgrand. The whole series has enjoyed a total of 4 million sales units in the Chinese market. Thank you. Company Representative As to export, we've made some target as to the export volume for H2 of this year, and we also set up some export target. For next year and the year after next, we're still in the process of formulating the target. But as to product itself, we've already settled down what kind of products we're going to export to the overseas market. And at the same time, we need to set up our aftersales capabilities in overseas market. Without proper aftersales services, it will be impossible to export your products to overseas market. So when it comes to international market, we must be resilient. And at the same time, we must maintain our stability in export volume. Thank you.
Yeung Chiu: At the same time we've collected a lot of questions from the online viewers. Due to time limitation, I can only read one online questions. Well, it seems to me that you have a rather lag behind schedule in terms of the improvement over the per unit gross margin. What kind of strategy are you going to employ in order to improve the gross margin? Company Representative I think the decline of 0.3% in gross profit margin in H1 of this year is related to the price war in the auto market in China. Secondly, our premium models will be launched in H2 of this year so it will be rather simple to answer your question. At the same time, the government is trying to rectify the auto market in China. And secondly, we're going to launch more premium models, enter the Chinese market during H2 of this year so that we'll see the improvement over the gross profit margin.
Yeung Chiu: Due to the time limitation, we have to draw a conclusion to the press conference. Before we conclude the press conference, would our executive members need to say to the audience?
Sheng Yue Gui: First of all, thank you very much for attending today's press conference. Geely Auto is still blazing on a treacherous road. We're more confident than ever before. As I said, the central government as well as the central government agencies have launched a lot of policies to rectify the automobile market in China. So Geely will follow the instructions from the government and take efforts to fight against unnecessary involution. Involution is by no means a price war. For Geely, we must learn from our competitors. We don't want to say anything bad about our competitors and we must do our homework well. If each and every Chinese automakers do the above 3 things, we definitely will drag ourselves out of the downward spiral of involution. For Geely, we just try to do our things well. And thank you very much once again.
Yeung Chiu: Thank you very much for taking your time out of your busy schedule to attend the press conference. We do have a lot of questions collected from the online viewers, but don't worry. Our executive members will engage in road show in the next couple of days. So you can book your meeting time with our executive members in the next couple of days. Thank you. [END]